Nathan Fast: Hello, everyone. Welcome to today's webcast on HIVE Digital Technologies financial results for the quarter and year ended March 31, 2025. My name is Nathan Fast, Director of Marketing and Branding at HIVE, and I'll be your moderator for today's call. Before we get started, on Slide 2, I would like to briefly note the disclosures for today's presentation. Except for statements of historical fact, this presentation contains forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995. Words such as expects, believes and similar expressions identify these statements. Actual results could differ materially, and we disclaim any obligation to update them, except as required by law. For a full discussion of risk factors, please refer to our most recent SEC filings at www.sec.gov. In addition to discussing results that are calculated in accordance with GAAP, we will also reference certain non-GAAP financial measures, including adjusted EBITDA, adjusted net income and free cash flow. Management uses these metrics to evaluate operating performance and believes they provide investors with additional insight, and they are presented for supplemental purposes only and should not be considered in isolation from GAAP results. Reconciliations to the nearest GAAP measures are included in the appendix to this presentation and in the press release and Form 8-K furnished to the SEC. On the next slide, I'm pleased to introduce today's presenters: Frank Holmes, Executive Chairman; Aydin Kilic, President and CEO; and Darcy Daubaras, Chief Financial Officer. I would now like to hand the presentation over to Mr. Frank Holmes for a macro recap of the quarter. Frank?
Frank Edward Holmes: Thank you, Nathan. So let's do a macro recap, starting the big picture, the transformative year, the most incredible year in HIVE's history. I -- when it first went public, become the first crypto mining company, and it's really quite impressive how the team is gelling. And let me walk you through why this is a transformative year for HIVE. Next. Next visual really is important for investors to understand the concept that they say that Bitcoiners buy the dip, stack the coins and hold on for dear life. Well, clearly, what you can see here is the daily volatility of HIVE is greater than Bitcoin. And MicroStrategy, now called Strategy, is double what Bitcoin is on a daily basis. And over 10 days, it's even more so. So it's really important when you look at HIVE, and we have lots of people like to try to trade like Bitcoin, et cetera; it's almost like you want to buy, if it's up 5% in a day, that's not the best day. But if it was down 5%, the math says it's time to buy. And that's really contrary to how most people think, except where I found that the Bitcoin ecosystem has the sort of concept that talks about it so often everywhere, everyday, Reddit, X, LinkedIn. Next, please. Well, I mentioned this is a transformative year. But to make it a transformative year, you need great leadership. And HIVE has expanded as senior leadership. And two of the key people that are helping scale our business is Craig Tavares. As Craig has a tremendous experience in Canada and building data centers, in particular, to run Buzz, be the President, which he is the Chief Operating Officer. And so we take a look in the past 6 months, the run rate of our HPC, high-performance computing business, using NVIDIA chips has doubled. The run rate has doubled and it will double again. And you see that we made a serious press release this week on a major acquisition in Toronto, which is the financial capital of Canada, the biggest city in Canada with tremendous infrastructure, intellectual capital, universities. [ Noble Lord ] for AI last year was from the University of Toronto. So having him join our team is just a wonderful statement about HIVE and what we're doing. And then to build and acquire assets in Paraguay and acquire Bitfarms assets and [ FastTrack ], we were able to have Gabriel Lamas to join the team, electrical engineer, a person with tremendous high-voltage electricity experience and understands the country. And his father's an engineer, so that it's really deep in the bones and muscles of people like Gabriel to lead the charge, and he's been doing a spectacular run so far this year that our growth rates have shocked a lot of people that didn't expect us to be able to scale as fast as we're doing. Next please. I love this video as a short-term -- a short clip of drone going over the new assets that we have, has helped us surpass 11 exahash. If you recall a year ago, it was less than 4 exahash. So it's moving and it's [ proving ]. And it's very exciting that we're a serious investor in the country of Paraguay, and there's lots of other positive developments happening with the country. So you can see from this other picture with Aydin Kilic, our CEO; and Mr. Lamas -- Gabriel Lamas, big guy, 6'4 and all the muscle that's needed to scale our business. And the other person is a real important wingman for him in running the facilities, is in between Aydin and Gabriel, that's Carlos. So we're really happy where we're taking the business. Next, please. Scaling. We're doing as hash rate with tremendous discipline, well organized, building beautiful campuses. We've also been adding air conditioning to all the kids schools that are near us because they have electricity, but they do not have the air conditioning that's necessary. So we've gone ahead as part of our strategy to be involved with the community. And we've lit up the downtown of Valenzuela, where we are for 100 megawatts. So now women and children are safe in the streets at night and the mayor has been -- very, very positive response from helping light up the streets. Next, please. So this is another simple visual. HIVE's future hash rate growth is going to double again by American Thanksgiving. And taking from 11 exahash scaling at 25, what's going to happen here is margin expansion. In particular, the revenue will grow substantially and Bitcoin at $100,000, the revenue can be over $400 million on a run rate. But when we look at the margins of what we're having, they will expand substantially. On a historical basis, that's what scaling is about. So it's not to forget what we're doing in the Bitcoin ecosystem. Bitcoin a year ago was $65,000 average price, now [ $100,000 ]. And 2 years ago, it was $25,000. So it's interesting to see, it's continued to grow, and we're now scaling with it. Next, please. The HPC, the high-performance computing business, is still exploding. I'm right now in Boston, I'm at MIT with 100 CEOs from 50 countries, Bootcamp AI and seeing how you build a business model what used to take weeks, now take hours. So it's been very exciting. And it is on the backdrop of this visual when [ OpenShot ] came out in November of '22, it exploded with 1 million users. And very quickly, it was 100 million users. Unprecedented growth at the magnitude. And now it has a run rate of about 500 million users and so many on the $20 a month. And then there's the enterprise system that OpenAI's annual run rate as of June now is $10 billion and some expect it to be $1 billion a month by December of '25. So HIVE is positioned and HIVE is growing with a spectacular growth in AII. Next, please. So this is a transformative year. HIVE is growing the 4x and revenue to become 3% of the Bitcoin network. HIVE is scaling as HPC AI business, acquiring a 7.2-megawatt Toronto data center, and we'll upgrade that from Bitcoin mining data center because that's all the power that's necessary and all the fiber optics necessary dense fiber to be able to expand that footprint. We made announcement also, we bought more clusters from NVIDIA. So I HIVE is also in this transformative year of expansion. It's gone through its move to Texas' head office. But more important, the HIVE has transitioned now from IFRS accounting reporting to U.S. GAAP. And that has been a tremendous amount of work on the accounting team, is transformative for us because it allows you to compare HIVE to mostly other U.S. Bitcoin miners on an equal footing simple basis. Next, please. HIVE value bump in the upside potential. I think by November, targeting 25 exahash. When you look at it, the peer average valuation is $100 million per exahash. So HIVE's upside potential is 7x, and I think that's why many analysts are calling it $7 to $10 in their forecast for the stock price. Next, please. At a big picture, our year-end is March 31. And Darcy and Aydin will give you a lot of granularity to the quarter. But I want to highlight, it's transformative because we've changed our accounting practices and reporting. And with that, how does it look last year under GAAP? Well, we did about $115 million in revenue, $10 million of that was for the NVIDIA chips. We have for high-performance computing. And that is expanding, as I mentioned, now has a run rate over $20 million, so it's doubled under the leadership of Craig Tavares. And the adjusted EBITDA is around $56 million, and the gross operating margin is about $25 million. Next, please. So some of the largest noncash items in that transformative accounting movement from IFRS to GAAP is depreciation. It's still pretty high, $64 million. And the stock-based compensation was de minimis as compared to our peers, we're a total $11 million. And the revaluation of the digital assets, mark-to-market, will create unrealized losses and gains every quarter in addition to our investments. But some of the stuff is like a $5 million noncash charge for currency volatility. So as we all know, in the past 3 months, with the tariff war, what's happened to the U.S. dollar, when you're going through these movements in the past year and having operations over 9 time zones, 5 languages, it does create an impact the way GAAP wants you to express those translations. So these are some of those charges, but that's all behind us from an equal footing. And next, please. So this is the most famous falls. It's in the Western Hemisphere. And very close to it is the largest dam in the Western Hemisphere, partnered between Paraguay and Brazil, and HIVE is leveraging green energy in Paraguay. The movie, The Mission, which made Robert De Niro and Jeremy Irons famous, is one of the top 50 movies by the Vatican to watch because it's based on a true history and has to do with these beautiful, spectacular waterfalls and Catholicism spreading through Latin America. Next, please. So crypto education enthusiasm in Paraguay, there's conferences coming up. The President of the country is also a YPO, member, the Young Presidents' Organization. And in September, he's hosting event for 150 CEOs around the world on what makes Paraguay interesting and great opportunity to invest in. I've mentioned this before that Paraguay is very much aligned with America in many ways, and the President of the country went to the University of Columbia, New York City, also worked for the World Bank. So he really understands American institutions and global institutions. And he's done a great job in having the country's currency go through an upgrade in the rating and the value of how they're running their country. But nothing is greater than right now, is all the money we're putting in. And Bitcoin mining means he's going to get U.S. dollars every month, and that's very important because -- and their utility energy companies owned by the government and having stable fiscal policies come from stable income. And so we're thrilled to be part of that growth. Next, please. In Paris, I recently spoke and I said, HIVE is not here to chase quarters. We're here to build decades of digital infrastructure and decentralized freedom. We mine Bitcoin not for today's price, but for tomorrow's paradigm shift. Now I'd like to turn it over to our CEO, Aydin Kilic. Thank you.
Aydin Kilic: All right. Thank you, Frank, for that intro. Let's have an executive overview of the year-to-date as well as some highlights from recent milestones. So it's been a stellar year for HIVE. The headline is $56 million of adjusted EBITDA. We're trading at a $350 million market cap. And by the way, we have over $60 million of Bitcoin on the balance sheet, 610 Bitcoin in the treasury $56 million of adjusted EBITDA on $115 million total revenue. So I think HIVE is an incredibly attractive buy, especially with a strong catalyst to growth this year. Our revenue was $105 million from Bitcoin mining and $10 million of HPC AI revenue. We did hit $20 million ARR in May. So this will continue to grow as we expand our HPC strategy, $25 million in gross operating margin. So it has been a strong year, considering we navigated the halving. This is -- our fiscal year is starting from March 31. So this year are effectively all post-halving economics. So I want to point that out. A lot of our peers had a December 31 year-end, ours is March 31. So this is effectively full post-halving mining economics. And by the way, 53% net cash and Bitcoin per share. We're trading at $1.75 today. And we've realized 22% ROIC in the last 12 months. So I think we've done a phenomenal job navigating post-halving economics, which are bearish, of course. And as the industry gets ready to torque up, I think it's going to be a phenomenal year for HIVE. Let's jump into it. So again, how do we realize these numbers? We prioritized ROIC in our capital deployment strategy. We've got prudent stable growth across cycles bear and both. We mined over 1,400 Bitcoin in this fiscal year. By the way, we hit 11.5 exahash in June, and we've been mining 5.5 Bitcoin daily since. So we are doing $600,000 a day revenue right now. We're at a $200 million ARR. That $600,000 is about 550 on the Bitcoin and over $50,000 a day on -- closer to over 60 actually on the HPC business, so $200 million in annualized revenue. We'll be at approximately 3% of the global Bitcoin mining network when we hit 25 exahash. And of course, we've got our vertically integrated HPC strategy, where we're building and operating Tier 3 data centers as well as the GPU cloud, [ NVIDIA ] cloud partner. We're targeting high-value contracts on our HPC business, we've got over 5,000 GPUs right now in our GPU cloud, and we had that $20 million ARR figure. Let's jump into the next slide. Here's an overview of the Bitcoin mining footprint. 440 megawatts of green energy globally between Sweden, Canada and of course, Paraguay. As mentioned, we've been mining 5.5 Bitcoin per day since we hit our 11.5 exahash target. We're over 1% of the network today. That's today. And we're scaling on track to get to 25 exahash by this fall. We're hoping to get the benefit of the [ doubt ] multiple that some of our peers get because we brought on an exahash per week for 5 weeks in a row as we grew from 6 exahash to 11 exahash last month. Check out the press releases, we put out a press release every single time we hit an exahash. And again, we've accomplished this with a disciplined ROIC strategy. Last December, we announced our landmark purchase with Bitmain at $14 a terahash for the S21+ Hydro as well as we have some air- cooled units. Those are coming online. We targeted sub-1-year ROI on these ASICs at $55 hash price after a $0.05 cost in our model. So we are very much primed to have a lucrative next 3 years ahead of us as we mine. We have modeled to be profitable up to $21 hash price. And so we very strategically and selectively deployed our capital, not only for high ROI, but for positive cash flow through to the next halving. And by the way, we accomplished this by having the lowest G&A per Bitcoin mine in the sector, of course, which is shored up by our best-in-class uptime. Next slide. So a beautiful overview. This is our Paraguay site. It was a 200 megawatts. You actually see the substation in the bottom right-hand corner. And then above, you've got 10 air cooled buildings, and you see all the civil work has been completed for the 100 megawatts of hydro miners. So the air cooled is done. That got us to 11.5 exahash a few weeks ahead of schedule. And the second 100 megawatts is the hydro on the left, and that will come online this summer. I was actually just in Paraguay a couple of weeks ago to oversee the progress, very exciting. Our first few containers are actually being installed. I mean the hydro mining containers, both the dry chillers and actual hydro containers are on site. We put that in a press release a couple of days ago. And so that's ramping up. We're expecting that hash rate to start coming online next month. So it will be very, very exciting, standby for updates there. And of course, the 300 megawatts is in Valenzuela, our other site. Civil work has also completed. So we're fully funded for the 25 exahash, I want to highlight that. We're fully funded for our growth to 25 exahash. We fully paid for all the ASICs to get to 18 exahash. And so those are just arriving week-over-week throughout the summer. And we have all the deposits in place for the 25 exahash as well. Again, we're fully funded for that. So I'm very proud of our team. It's now we're just bringing the hash rate online we've effectively executed on the infrastructure. Let's talk to the next slide. So here's a layout for all the analysts out there of how our 440 megawatts is allocated between Canada, Sweden and of course, Paraguay. And on the right-hand side is our Tier 3 footprint. So we have GPU cloud running in Stockholm, Montreal. And now with the announcement of the data center in Toronto we're acquiring, it's a 7.2 megawatt infrastructure load and a 5.5 megawatt IT load, assuming 1.3 PUE. What this does is this additional 5.5 megawatts of Tier 3 compute will effectively 3.5x our HPC footprint. So we just announced the acquisition of this site. We have a binding purchase agreement. We hope to close on it very quickly, and we will upgrade this Toronto site to be liquid cooled for next-generation GPU compute. Of course, we're an NVIDIA NCP partner. So very exciting as we scale our HPC business to go from $20 million to $100 million. More details on that later in the presentation. Next slide. This is the ramp on the Bitcoin mining business, of course. As mentioned, we've successfully completed the first phase of air cooled, 11.5 exahash. Our global fleet efficiency is 20 joules a terahash today. That will incrementally increase as we bring on our hydro-powered S21+ miners from Bitmain that are 15 joules a terahash. It'll bring our global average down to 18.4 joules per terahash efficiency as Phase 2 completes this summer, and we'll get down to 17.5 joules per terahash efficiency this fall as we fully ramp. Very exciting time to be a HIVE shareholder. I'd like to describe this moment in time as an elbow as a hockey stick ramps up. Again, this is a 4-year overnight success. We scoured the globe for cheap hydro energy at scale, and we found it in Paraguay. We have been very active as well in Paraguay. We're electrifying 18 schools in the rural regions of Valenzuela. In fact, we've completed 6 of these 18 schools. I met with the Chief Technology Officer, ANDE, which is a national power provider. We'll be attending a YPO event that the President of the country will be throwing in September. In fact, the President of the country, Santiago Peña, is a YPO member. Him and our Executive Chairman, Frank Holmes, have a personal rapport. So we're very much engaged at the geopolitical level, at the infrastructure level with the national power provider and of course, in the community. It's just how we like to do business at HIVE. Next slide. So taking into consideration the improving efficiency of our global fleet, once we're at 25 exahash, here's a snapshot of what it looks like at 900 petahash -- sorry, 900 exahash network efficiency -- sorry, 900 exahash of global network hash rate, $126 trillion network difficulty is what we're modeling here. Once we're at 25 exahash, that works out to 12.5 Bitcoin a day. And at today's Bitcoin price, that's $1.3 million a day. That's over $400 million of annualized revenue. It works out to over $250 million of gross mining margin at $100,000 Bitcoin. Our cost to produce a Bitcoin will be about $42,000. If Bitcoin rallies to $150,000 later this year, which a lot of people are speculating it might go from $150,000 to $200,000, but $150,000 Bitcoin, we will be doing almost $2 million a day, roughly $700 million of annualized revenue and almost $500 million of annualized gross mining margin. Again, we're fully funded for this growth at these 25 exahash this fall, 18 exahash this summer, and our market cap is $350 million. So I think HIVE is an incredible value right now. We have 600 Bitcoin on the balance sheet. But we also have a pledge to buy back 1,300 Bitcoin at $87,000. So as our market cap increases, moreover our enterprise value increases, our free cash flow increases; our cost of capital will come down. We can either use free cash flow from operations to buy back Bitcoin at $87,000 or utilize proceeds from our ATM in an accretive manner to buy back Bitcoin. So our strategy is to get our HODL back over 2,000 Bitcoin by buying back our pledge by the end of this year, fueled by a lower cost of capital as our free cash flow from operations increases as we've had this moment to scaling. Next slide. We've got the biggest growth in this sector this year. Some of our peers who have hit super scale of 50 exahash have tapered off and they won't be expanding. Aside from Cipher that's got 1.6x growth, HIVE has got 2.2x growth for the balance of the year. And by the way, we started the year off with 4x growth and we're executing on that beautifully. So we've got the biggest growth profile of the entire industry this year. It's a huge headline. Next slide. We're also trading at the best multiple in the sense that we're trading effectively at $10 an exahash when you look at our enterprise value and where we're at end of this year. Our peers are trading at $30, $40, even upwards of $50 an exahash. We have moved our principal executive office to San Antonio. We are looking at a U.S. domicile. And we believe that as we hit $500 million market cap and $1 billion market cap, we're due for a re-rating. As some buy-side funds have a mandate based on market cap or liquidity, we are a very liquid stock. Our 3-month average is over 10 million shares a day. We've hit almost 20 million shares of volume on some days. So I really think 2025 is year of HIVE as we scale to 25 exahash. Again, we're trading at a very attractive multiple to our peers. Our market cap is under $350 million. And with $65 million of Bitcoin on the balance sheet, I think that we're a very attractive multiple. And by the way, again, we also have the $20 million of annualized revenue on the HPC business. Let's go to the next slide. So these are some of the merits of how we run the business. Again, disciplined capital allocation. We always try to source ASICs at the lowest cost. We try to buy spot, so we get immediate delivery. We lead the sector in uptime. We run our ASICs for their full life cycle to maximize free cash flow, lowest G&A in the sector. And what does that yield? Best-in-class ROIC. Next slide. And here it is by the numbers, huge numbers, 22% annualized ROIC -- or sorry, 22% ROIC for the last 12 months. And you could see how this compares to our peers. We are effectively double the next contending companies, [indiscernible] 12%. And from there, it sort of drops off [ mirror and hot ] 2% and 5%. Again, we walk the walk, we talk the talk. It's about having discipline. We focus on ROI when we deploy our capital. If you're going to buy $100 million of ASICs, you've got to make well over $100 million after cost. Otherwise, you shouldn't even be mining, right? You should be buying Bitcoin if you can't make money from mining. So we lead the sector. We target under 1-year ROI. Again, we targeted -- we effectively have an 11-month ROI from the Bitmain ASIC after cost that we announced our purchase of at $55 hash price. That means if we run those for 3 years, we're free cash flowing for years 2 and 3. And this is just how we run the business at high. We want to be smart, we want to build shareholder value by having free cash flow from operations. So we could scale our business with free cash flow and not have to rely on dilutive financings. I think the cheat code that emerging capital markets over the last 2, 3 years as dilution was ramping. A lot of companies were just buying new machines, running them, upgrading them before their end of life just so that they could show high inter-quarter margin. So I'm going to take a moment to describe this. If you're constantly just buying the newest best machines, in the moment, you could show that you have a high margin because guess what, the latest ASIC has a better machine efficiency, it has a lower breakeven. Okay. So you've got a good margin for the quarter. But have you ever repaid the investment of all these new ASICs you're buying? And that's what's really hard to track. Well, this slide shows the difference. If you actually maximize and get ROI on your ASICs, it's going to show up in the numbers here. And you can see we lead the sector by a long shot. Next slide, please. Lowest G&A per Bitcoin mined as a function of revenue for the last 12 months. Next slide. So it's low cost, but it's also high performance. We've got the best uptime in terms of Bitcoin mined per exahash in the whole sector, third-party analysis from Anthony Power's power mining analysis. Next slide, please. And of course, the AI business, the recent announcement of the 7.2 megawatt data center in Toronto, this will provide 5.5 megawatts of liquid-cooled compute. We plan to undertake this conversion. We look forward to closing on this facility in the very near future. We just announced the binding purchase. This will grow our effective HPC footprint by 3.5x. Again, we currently have over 5,000 NVIDIA GPUs operating. That's over 4,000 A-Series cards, 344 H200s -- sorry, H100s and 504 H200s. We hit the $20 million ARR target, and we are looking to hit $100 million ARR. If we were to populate the Toronto facility 5.5 megawatts with H200s, using current market utilization and market rates for H200s that we're seeing, it would add approximately $80 million ARR to our top line. So it's a very exciting time to be a HIVE shareholder. And we are having our HPC business in Buzz. And so Buzz is a fully owned subsidiary of HIVE, and it will be a pure-play HPC focused, vertically integrated business where we will build, own and operate the Tier 3 data centers along with the GPU cloud. Next slide. This shows the growth and how we've got there. Again, we scaled up. We had the 4,000 -- actually, it's closer to 4,200 NVIDIA A-Series GPUs, 344 H100s. We hit $13 million ARR. We brought on the NVIDIA H200s. That actually got us to $23 million ARR. And of course, with the advent of the Toronto data center, we'll be able to scale, build GPU cloud and get to our 20 -- sorry, $100 million ARR in 2026. Very exciting time. Next slide. And so I'll turn it over to the longest-standing CFO in the crypto mining industry, Mr. Darcy Daubaras.
Darcy Daubaras: Thank you, Aydin. Good morning, everyone, and thank you for joining us today. This reporting period marks a significant milestone for our company as we have transitioned our financial reporting framework from IFRS to U.S. GAAP. This change aligns with our strategic objectives, enhances comparability with U.S.-listed peers and supports our potential growth ambitions in U.S. capital markets. As this is our first earnings release under U.S. GAAP, I want to emphasize that while the core fundamentals of our business remain unchanged, certain financial metrics and disclosures may look different due to accounting presentation differences. We remain committed to transparency and will continue to provide clear, consistent reporting as we move forward. As this is the first time reporting under U.S. GAAP for HIVE, I want to highlight three key U.S. GAAP adjustments that will be seen in these newly presented statements compared to what we've had in other years. Those are functional currency, digital assets and leases. So functional currency change, HIVE changed its functional currency from Canadian dollars to U.S. dollars for the parent company. This was driven primarily by a shift in financing activities to U.S. capital markets. This change aligns with U.S. GAAP, which prioritizes financing indicators. The adjustment affects several areas, including warrant and convertible debt classification. One of the bigger ones is digital assets. Under U.S. GAAP, HIVE now records digital assets at fair value with gains and losses recognized directly in profit or loss. This contrast with IFRS where only losses were recorded in profit or loss, and gains flowed through other comprehensive income unless reversed, this will greatly assist the markets in comparability between ourselves and our peers. The third one is leases. While leases remain on the balance sheet under both standards, U.S. GAAP requires different income statement treatment. Rent expense for operating leases and amortization plus interest for financing leases, this is similar to the IFRS treatment for finance leases. Fiscal 2025 has been a transformational year for HIVE. Over the past year, HIVE has executed on a strategic plan to scale massively from 4.7 exahash at the end of March 31, 2024 to 6 exahash at the end of this year and now where we're sitting at 11 exahash, moving towards 15 by mid-2025 and 25 exahash by late year. We continue to leverage our green energy hydroelectricity with our expansion into Paraguay. We're also growing our Bitcoin production through the upgrading and purchase of cutting-edge ASIC machines throughout the year and the exahash growth that we have experienced. We are also modernizing -- modernized. We have now improved our structure with our U.S. GAAP headquarters, U.S. GAAP reporting and improved governance structure. Also, our high-performance computing diversification. Buzz's HPC growth into sovereign AI and liquid-cooled GPU clusters had a high-margin digital infrastructure vertical and aligns with national and enterprise demand for secure, scalable compute. Collectively, these milestones mark a transformation from a modest digital mining firm to a globally scaled green-first Bitcoin infrastructure and high-performance computing leader. With that said, let's walk through the results. We are providing certain non-GAAP measures in our presentation today. The company believes that these measures, while not a substitute for measures of performance prepared in accordance with U.S. GAAP, provides investors an improved ability to evaluate the underlying performance of the company. These measures do not have any standardized meaning prescribed under U.S. GAAP and therefore, may not be comparable to other issuers. Further details are found in the management discussion and analysis for the 3 and 12 months ended March 31, 2025. As you can see, HIVE ended the March 31 year with 165.6 million common shares, 3.3 million options, 7.1 million RSUs and 3.2 million warrants outstanding. On to the next slide. For the fiscal year, ended March 31, 2025, HIVE recorded $115.3 million of revenue and a $56.2 million profit measured in adjusted EBITDA. This is driven by a production of 1,414 Bitcoin equivalent produced. Moving on to the next slide, we take pride in maintaining a healthy balance sheet as always. Our cash position was $23.4 million as of March 31, 2025, in addition to $181.1 million in digital currencies, consisting primarily of Bitcoin. This is down slightly from the prior period due to the strategic use of our Bitcoin to fuel our accelerated operation expansion in Paraguay. We also had $15.3 million in amounts receivable of prepaid, an increase from the prior period. Total market value of our strategic investments remained strong at $24.1 million. We have a strong net cash position and healthy working capital to support our operations and growth objectives with a current ratio of 3.7, calculated as current assets divided by current liabilities. And on to the next slide, let's shift our focus to our gross operating margin on a year-over-year basis, comparing the annual results of this year compared to last year. Our gross operating margin, which is calculated as total revenues minus direct operating and maintenance costs and high-performance computing service fees, decreased in absolute terms to $25.1 million in the most recent year, compared to $37.5 million in the prior- year results. One significant factor to consider is the impact of the halving event that incurred in Bitcoin in April of 2024. This event led to rewards earned by miners in the current year being halved compared to the prior year. The gross mining margin is influenced by several additional external factors. These include the high mining difficulty currently being experienced, the reduced amount of digital currency rewards received by miners, which is now half what it was a year ago; and the market price of the digital currencies at the time of mining, which has been higher compared to the prior period. In the most recently completed year, we are reporting a net loss of $0.02 per share compared to a net profit of $0.29 per share reported for the year ending March 31, 2024. In looking at our gross operating margin on the next slide, on a Q4 quarter-over-quarter basis, Q4 quarterly results of this March 31, 2025 period compared to the prior year March 31, 2024 period. Our gross operating margin, which is calculated again as total revenues minus direct operating and maintenance costs and high-performance computing service fees, decreased in absolute terms to $8.8 million in the most recent year compared to $15.6 million in the prior year Q4 results. Again, a significant factor to consider is the impact of the halving event that occurred in April of 2024 and also as has been discussed, the difficulty impact and the mining margins that we are experiencing. In the most recently completed March 31, 2025 quarter, we are reporting a net loss of $0.34 per share compared to the net profit of $0.55 per share reported for the Q4 period ending March 31, 2024. On to the next slide. Taking a look at our year-over-year revenue, we generated total revenue in fiscal 2025, of $115 million versus $114.5 million in the previous year. The strong, stable revenues compared to the fiscal year 2024 was assisted by much higher average Bitcoin prices compared to last year. This is despite the reduction of bitcoin mined as a result of the halvening in April of 2024 and also from the increase in contributions from a HIVE performance computing revenue, which has increased close to 300% compared to last year. We were also able to overcome the industry pressures due to the continuing rise in Bitcoin difficulty hash rates over the past year. As mentioned previously, our gross mining margin decreased in absolute dollars to $25.1 million or 22% in the most recent year compared to $37.5 million or 33% in the prior year. And on to the next slide, looking at our quarter-over-quarter revenue, we generated total revenue in the fourth quarter of fiscal 2025 of $31.2 million versus $36.9 million in the previous year's fourth quarter. The revenues compared to the same period in fiscal 2024 can primarily be attributable to the higher average Bitcoin price, currently, which is more than double what it was in the comparative quarter last year. However, this increase is offset by a rise in Bitcoin difficulty hash rates over the past year as well as the impact of the halvening event on the current period's results. As mentioned previously, our gross mining margin, which equates to our revenues minus direct operating and maintenance costs and HPC computing service fees, decreased in absolute dollars to $8.8 million or 28% in the most recent quarter compared to $15.6 million or 42% in the prior-year comparative quarter. Moving on to the next slide. Comparing our current fiscal Q4 quarter to the previous Q3 quarter, we generated revenue in this quarter of fiscal 2025 of $31.2 million versus $29.2 million in the previous quarter. The slight increase in revenues versus the prior quarter was impacted by an increase in the price of Bitcoin, resulting in higher revenue from digital currency mining and also higher high- performance computing.
Nathan Fast: Are there any questions guys?
Bill Papanastasiou: Yes. It's Bill Papanastasiou from KBW. Can you hear me?
Aydin Kilic: Yes. I got you loud and clear.
Bill Papanastasiou: Congrats on the sequential margin expansion and strong execution at Paraguay. I was just hoping to get some more color on the recent data center acquisition. Seems like a nice bolt-on addition to the portfolio. Any chance you happen to have a timeline of when you expect to get the liquid cooling installed and when the site will ultimately come online?
Aydin Kilic: Yes. So that site, 7.2 megawatts would yield about 5.5 megawatts of compute, assuming 1.3 PUE and something like a 9- to 12-month retrofit with liquid cooling to bring that compute online. And it effectively would triple the megawatt footprint of HPC compute currently today. And yes, that's kind of the outlook for it. So it's very exciting.
Bill Papanastasiou: Awesome. And apologies if I missed this. I can't really see the slide deck on my end, but was there any discussion in terms of the type of hardware that you guys are considering? I think there may have been some mention of NVIDIA Blackwell in the past. Just curious, how you're weighing, deploying kind of latest versus next-generation equipment?
Aydin Kilic: Yes, exactly. That's a great question. So it will be a function of what -- yes, the slides were off, but it's a function of what will be available on the market at that point. So for example, today, you can order B200, but there's talk that in Q1 2026, you'll have B300 available. So it will sort of be an economic analysis because as you know, when the newest model comes out, we've heard that B200 fetching over $5 an hour right now. And so if there's a B300 that's out, typically, you'll want to gravitate towards getting the latest model GPU that's available. So that's why we haven't specified that. It's more of sort of an exercising capacity and analysis knowing, for example, a [ 1,000 ] cluster of Blackwell, so 1,028 GPUs, is a little over 1.5 megawatts, a little bit more power intensive than, say, an H200 cluster, which is a little under 1.5 megawatts. So yes, once -- as we sort of get closer to locking in the PO, then we'll provide more specificity on exactly which model GPU that we intend to operate.
Bill Papanastasiou: And then just lastly, you're making all this progress on bitcoin mining gains, getting buybacks in [ ASH ] before the end of November and now scaling to the $100 million kind of annualized run rate on AI, HPC. Is there a particular revenue mix that the team is trying to achieve? And how could that differ going forward once you kind of execute on both of those businesses and scale?
Aydin Kilic: That's a good question. I wouldn't call it so much of a revenue mix because we're positioning Buzz as a pure-play HPC company that will sort of be 100% HPC AI revenue and then HIVE moreover be -- I mean that's a wholly owned subsidiary of HIVE. And so how do we unlock shareholder value for that entity, we will evaluate. And of course, HIVE is operating Bitcoin mining data centers globally. So we're sort of bifurcating, I think it's perhaps a good way to think of it rather than looking at it as a mix. But as you could see from last year's financials, it was about 90-10. If we did get to next year and we hit $100 million on Buzz and $400-plus million on HIVE, like even at $55 cash price of 25 exahash, you're well over $400 million of ARR just on the Bitcoin mining. And so it's still in 80/20 mix if you did want to kind of have a ratio based on those projections.
Bill Papanastasiou: Awesome. Appreciate all the color, and congrats on all the progress.
Aydin Kilic: Yes. It's been an awesome year so far -- look forward to continued momentum.
Nathan Fast: Thanks for those to questions, Bill. Our next question comes from the line of Mike Colonnese from H.C. Wainwright. Mike?
Michael Anthony Colonnese: Congrats on all the progress in Paraguay and the recent hash rate ramp, great to see. Just following up on Bill's question around the 7.2-megawatt Tier 3 data center in Toronto, can you just share what the cost of acquisition was and what the related cost to do the full retrofit will be?
Aydin Kilic: So we haven't -- good questions, Mike, we haven't publicly commented on that yet. So we'll be providing that color in the near future. So stay tuned.
Michael Anthony Colonnese: Got it. Fair enough. I appreciate that. And as it relates to monetizing the 5.5 megawatt of critical IT load there once you're fully up and running, how should we think about that as it relates to customer demand? Are you looking at more on-demand type deals or contracted revenue streams? Just trying to think through the revenue of that additional $80 million that's projected to come online as it relates to timeline and underlying contracts.
Aydin Kilic: Yes. So right now, I mean, we've got 5,000 GPUs to about 5,100 actually, 4,300 A-Series cards and 344 H100s and 504 H200s. And those are, for the most part, rented, I think it's about 80% utilization, and that includes some GPUs that are on longer-term contracts, for 6 months and longer, and some are on aggregators. So it's -- we're looking to -- with the sovereign strategy, as we sort of discussed that more in our most recent press release, we're really looking to embrace enterprises in Canada and working with the government as well as researchers to take on more long-term contracts, and that's sort of what we're alluding to with the sovereign strategy. As you know, there's a large AI grant in Canada. And so that's one of the initiatives. And so working -- we've got -- and by the way, we haven't opined on the price of the data center yet for competitive reasons, but we'll be providing more color on that at the right juncture. So yes, we've really sort of seen strong demand, and that was how we cross that $20 million threshold. And so if you think about it, with the, say -- it looks like a B300 cluster and say that's 1.8 megawatts for 1,028 GPUs, you effectively can fit 3,000 B300s in that cluster. And so we're actually renting out 5,000 GPUs now. So if you think of the quantum of GPUs, we're already ranking out a lot. The A-Series cards, of course, are much less power intensive than the Blackwell. So we're confident it's sort of within our ramp in footprint. You just kind of have more power-intensive cards that drive more revenue per unit. But in terms of the total quantity of cards, bringing on that additional 5.5 megawatts of IT load is actually less than what we have online in terms of number of GPUs. Is that helpful?
Michael Anthony Colonnese: That's very helpful. I appreciate the detail. And just last one for me. Could you remind us of the cutoff point as to when you can repurchase those pledge Bitcoin with Bitmain?
Aydin Kilic: Yes, it's to the end of this year, a little bit past the end of this year. We didn't specify who the vendor is with the pledge, though. That's only a clarification.
Nathan Fast: Thank you, Mike. Next, we'll go to Tom [ Senske ] from Cantor. Thomas, please unmute.
Unidentified Analyst: This is Tom on for Brett. First, I just wanted to touch on the regulatory situation in Paraguay. I know, as of June of last year, they put through a tariff against crypto mining companies. I wanted to see if there was any impact there and how the cost of power through your Paraguay sites compares to the facilities elsewhere.
Aydin Kilic: Yes. So things are sort of in a holding pattern until 2027, but we're actively evaluating the landscape but also working closely with ANDE, which is a national power company. I was just there 2 weeks ago and met their CTO. We're going down again in September for actually a YPO event. The President of the country is in YPO's, and he's actually hosting a YPO event. So we sort of embrace the government and utility company and just the regulatory framework in Paraguay at different levels. We meet with governors and mayors when we go down there. And so I think there's an education process. Actually, I just met with the Ministry of Industry and Commerce when I was there a couple of weeks ago as well. And so I think as they understand the industry more, they we're optimistic they'll sort of embrace it more, and we have a long-term view that we expect with them embracing it to sort of have a more attractive -- power pricing trending in the right direction, if you will, is probably a good way to put it. And yes. So I would say that even with the citation of the June tariff, the power prices there are still more attractive than a lot of jurisdictions we've looked at. So yes, it's good. And I think that the revenue or so I should say, the gross mining margin reflecting the hash rate from Paraguay, stay tuned, it won't be too long because it's this current quarter, which will be reported in about 6 weeks. So yes, you'll see -- you'll sort of see the gross mining margins from this current quarter as we brought on those 5 exahash for period-end June, which I believe is reported in about, yes, 6 weeks from now.
Unidentified Analyst: Awesome. That was very helpful. And then just one more, if I may, on this general CapEx throughout fiscal 2026. As we think about ramping to 25 exahash and also potential expansion within HIVE cloud business, how should we think about cadence of CapEx throughout '26? And how much of that should we attribute to the potential expansion of the cloud business versus getting to 25 exahash by Thanksgiving?
Aydin Kilic: Yes, you bet. So the 25 exahash is fully funded. As you know, there was 610 Bitcoin on the balance sheet, as of our May production report, right, so that's sort of more current than the fiscal year-end. So that's approximately a little over $60 million. And so yes, we've effectively fully paid for all the ASICs that have been arriving, and that will continue to arrive through to 18 exahash. And so that's why we have shipments arriving weekly and deposits are in place. You sort of deploy your capital and you make those final payments for ASICs right before they ship, right? So the summer inventory that's all fully paid for and that's shipping. And so final deposits for the fall inventory, right, the third phase going from 18 to 25 exahash, those will be made in the fall. So it's all fairly near term. And I believe on the -- and that's on the ASIC side of things. And again, we're using the strategic upside strategy for that. And then on the construction, I believe, it was discussed that we actually had a sort of VTB arrangement, where $31 million of the $55 million purchase price was actually spread out over 6 months with $5 million monthly payments, 5 and change, right, 31 divided by 6. And so those continue from, I believe, April when we close the deal into about October. So that's nice and spread out. So yes, that addresses the Bitcoin. And as for the cloud we -- as mentioned, we haven't discussed the purchase price yet, although it was very attractive, I can -- I believe I can say that confidently. And the -- as with any construction project, right, you'll have -- you'll preorder some equipment and then the rest of the CapEx will sort of be spread out over that 9-month term. So we can provide more color on that. But really, as with the GPU business, you don't actually need to pay for the GPUs until you receive them on like crypto mining. And in fact, we have net 30 with -- I think it's fairly well known, we work with Dell and Super Micro as preferred OEMs. And we have net 30 payment terms. So if the GPUs don't arrive in 9 months, we don't need to pay for them until 10 months, right? So the CapEx on the HPC specifically to Toronto data center, I would say, is sort of further down the road? And in the interim, we're fully funded for the 25 with ASIC effectively arriving weekly between now and the fall with 25 exahash on the horizon.
Nathan Fast: Next, we'll take a question from Fedor from B. Riley. Fedor, the floor is yours.
Unidentified Analyst: Yes. Frank and the team. First of all, congratulations, strong progress you're making on both HPC and Bitcoin mine in France. And going back to your slide with Robert De Niro, Frank, I'm hoping institutional crypto adoption continues at the same pace we saw with catholicism spreading for Latin America. But anyway, I wanted to dive deep a little bit kind of follow-up question on Toronto HPC data center. Stepping back to bigger picture, it would be helpful if you could share us scale in the road map for this data center particularly? Kind of what does growth look like from here? And how you're thinking about expansion of composition of your fleet at this location? And also, how should we think about financing in terms of preferred options, maybe equity or debt split for the overall HPC segment?
Aydin Kilic: Yes. So the HPC can be financed in different ways. For example, there's -- as you mentioned, there's debt some -- we've not done this, but just sort of providing color on how others in the industry have approached it, sometimes you can do not quite a vendor financing, but like it's no secret, Dell has DFS, which is Dell Financial Services. So they'll actually sort of lease you the hardware, the GPUs, right, which are the most CapEx intensive. And by the way, like just rough numbers, GPUs, latest-generation GPUs broadly are roughly about $30 million a megawatt, right, for HPC. And so there are different mechanisms to -- I mean you can buy them outright in cash, which is what we've done in the past for the GPUs that we have. And then as far as the data center construction financing, again, we sort of haven't disclosed the exact budget acquisition cost yet. It will be attractive and competitive, which is why we love this acquisition. And we're really excited about bringing it to the market. And as I mentioned earlier, Fedor, I think part of your question was scale or capacity. So 1.3 PUE, it's effectively 5.5 megawatts of IT load, which effectively, I think it's on one of the slides in my section, the exact page number. I don't recall. But it's effectively 3.5x of what our current capacity is, right? So that's really exciting. And then I believe I was addressing Mike's question just in terms of capacity of number of GPUs. So if you have like an H -- well, I mean, people would be buying H200 instead of H100 now, but that's -- those are a 100 cluster, again, 1,028 GPUs or 128 nodes with the [ HPs ] per node. And it's actually N minus 1. So you always have to have 1 node for switches. So you'd have 127x -- anywhere, just over 1,000 GPUs. That's about 1.3 megawatts for H-Series. And Blackwell B300 is expected to be a little more power-intensive, closer to 1.8. So you just sort of take your IT load -- so you always think your sort of gross utility load, right, at 7.2 megawatts, divide that by 1.3. And then if you want to say, well, how many Blackwells could I fit in there, you sort of divide by, conservatively, 1.8 megawatts. And again, it depends as can be B200, B300. So that all matters as well and -- or if it's going to be in a H200 cluster, then divide by 1.3 megawatts and then multiply you GPUs by the prevailing market rate on what they're renting per hour, like H200s are renting at $3 an hour right now on demand. So yes, I hope that was helpful.
Unidentified Analyst: This is super helpful. And my second is about your customer profile and contracted dynamics. Can you kind of paint a picture of what your average HPC client looks like primarily serving on-demand, smaller scale customers? Or do you have a mix that includes some large enterprise clients as well? And kind of what's the typical duration you've seen on your HPC agreements, at least mostly short- term flexible arrangements? Or are you starting to lock in longer-term commitments with scale in Toronto? And kind of looking forward, how are you thinking about the evolution of your customer base? Is it fair to assume you're actively pursuing larger capacity contracts and trying to move up market to bigger enterprise clients, who can commit to, say, more sustainable and longer-duration agreements?
Aydin Kilic: Yes. Generally, the answer is yes to the sort of numerous questions. That's sort of underlying by the sovereign strategy, and that's what we're getting out by working with governments and research institutes throughout Canada, viewing data really is a sovereign asset and working with those enterprises and research institutes that want to keep that compute with in the country. We actually have -- obviously, I can't say who, but there is a sort of a former Google deep mine guy that's training a foundational model on a 6-month contract right now on some of our GPUs. And so yes, we're absolutely targeting more longer-term contracts. We've done some compute with researcher out of NYU Stern, Colombia as well as Berkeley. And so they're all sort of doing very novel things. Some are -- I mean, in most of those specific cases, it's foundational model work. One, I believe, is actually a vision -- like a computer vision. So yes, it's a lot of really cool, fun stuff. And then, of course, the balance of the compute is with aggregators, some aggregators are really flourishing. And the -- it's also like having a -- like when you're working with the end users, like we've got a great team and so it's giving in the -- making sure the users have a good experience with the GPUs. It's not just the raw compute but making sure that they have a good experience as well. That's sort of another key thing because at the other end, is an actual user that's implementing and utilizing this compute. So it's just key that overall they're having a good user experience, and that's sort of a key takeaway if you talk to NVIDIA, that matters a lot to them as well. And so that's where we aim to please, and we're really excited about the direction that Buzz is going.
Nathan Fast: Time for a few more questions. Dylan from ROTH, if you would kindly unmute yourself and proceed.
Unidentified Analyst: Just to start on the Canadian data center, would there be any reason that those megawatts would come on in tiers? Or would you expect to energize all 7.2/5.5 critical IT load at once?
Aydin Kilic: Yes, that would mostly be a function of the retrofit process Dylan. And so as I sort of commented on earlier, you'd kind of bring that online in roughly a 9-month process, and that would be -- you could do it all at once, absolutely because you're sort of retrofitting. And by the way, I should comment, one important thing is it's actually a working active data center today. But if we want to bring that to do liquid cooled, that's where the retrofit comes in.
Unidentified Analyst: Got it. And just as a follow-up, where do you stand with some of your existing sites? Are you still considering potentially retrofitting any of those to HPC AI? Or are they going to stay Bitcoin mining for the near term?
Aydin Kilic: Yes. Yes, our site in Sweden, we did a trip out there with some analysts, and I believe Darren saw it, we call it Little Boden. It's sort of -- there's 2 data centers that we have that are across the street for each other. And the smaller one, it's roughly 6 megawatts. We've identified that as a near-term candidate as well for HPC conversion. It was originally built as a GPU data center. So it's got a really good level of finish. And so yes, we've identified that one as well, and we'll be providing more color on that. So stay tuned.
Nathan Fast: Thanks, Dylan. Our next question comes from the line of Mike from Northland.
Unidentified Analyst: If you could just talk a little bit about the demand you're seeing for that 5.5 megawatts. Is it basically already spoken for? Or do you still kind of have to source the demand?
Aydin Kilic: Yes. I mean right now, Mike, we just announced the data center. So we'll be providing updates on its conversion and bringing it to market. So we're doing -- as I sort of, in an earlier question, pointed out, it's roughly 3,000 Blackwell B300s if you were going to go that route, and we're already managing and renting out 5,100 GPUs. So although it effectively tripling our footprint when you just look at the number of GPUs because they're, again, more profit dense and power hungry as time marches forward. By the way, like the GB200 130 kilowatts per rack, and that's only 72 GPUs, right? So the GPUs directionally are getting more power intensive. So we're actually managing more GPUs today than the GPs that we would be bringing online. So we would provide guidance under that, but we're -- it's a great bit what we really like about this site, it's functioning today as a data center. And so it's operational. And it's a bite-sized deal that we're very confident that we could bring to market, and it will fit very well within our demand pipeline. And we are entertaining numerous -- like our H200s are overcommitted right now in terms of there's numerous groups or end users, if you will, that want to rent them with fixed contracts. And so that over demand, which is great, will tie in nicely to future capacity that we bring online.
Nathan Fast: Mike, thanks again. Time for one final question. We will go to the line of Chris Brendler from Rosenblatt.
Chris Brendler: And congrats on the results. I wanted to ask just a quick question since we're running a little long here on the mining gross margin, a nice sequential improvement I'm calculating here. Obviously, the Paraguay coming online, but it feels like that was only a partial quarter of impact. Can you give us any sort of sense on how much the mining margin can improve in the fiscal first quarter as you fully ramp the site and maybe a little bit of an outlook for the rest of -- or the beginning of, I guess, of fiscal '26? Because you've got a lot of low-cost power coming online, as more efficient machines as well, and we've also seen a recent improvement in the network hash rate. So any color there would be great.
Aydin Kilic: Yes, totally. Great question, Chris. So actually, I did comment on this in a press release not too long ago as sort of in my quote section. And it's a really, really good question because it sort of highlights the improving fleet efficiency. So this quarter, right? Like again, I'm extremely proud of the team and I was still thrilled when I went down to Paraguay a couple of weeks ago to see the completed first 100 megawatts. And just everyone -- and by the way, like thanks, everyone, great show, like 60 people dialed in to this call. And I know all the analysts that follow the story so closely and kind of such deep insight. As you guys all know, we brought on 5 exahash 5 weeks in a row, right? It was extremely momentous. And so -- but to that end, all of that hash rate growth is in the last 5 weeks. So that's all in this quarter, right? So two things. First of all, the fleet efficiency, a big portion of that 5 exahash was S21+, air cooled units at 16.5 joules per terahash, right? And so our global efficiency sort of this current quarter is now 20 joules a terahash that will drop down to 18.4 joules per terahash when Phase 2 comes online and then 17.5 joules per terahash when Phase III is completed this fall. So you're sort of having this graduated improvement because the hydros that we're bringing online in Phase II, like Phase II is going to be all S21+ hydros. And by the way, like I think we put some really nice photos in the recent press release that commemorates 11 exahash, those containers are on site now, and they're being installed, which is super exciting. So that will all be 15 joule per terahash. Hydros, the hydros are more efficient than air cooled. Hydros are 15 joules per terahash. S21+ air cooled are 16.5 joules per terahash. So as we bring that -- those hydros online, that's what continues to improve the overall global fleet efficiency and will land -- it's actually closer to 17.3, but just about 17.5 in your models, to be conservative. And yes, so if you go from -- I believe we were coming in about 20 to 23 coming into this quarter, right? And so bringing on all those S21+ gets us to 20. So that in and of itself sort of from period-end March 31 to period-end June, right, quarter-over-quarter is a [ 10% ] improvement in -- 10% to 15%, I guess, percent improvement in efficiency, right? And then with power costs, power costs were actually seeing really, really good power in New Brunswick, like interim spot pricing was as low as like CAD 0.02 on some days. Now New Brunswick is 70 megawatts, half of that is fixed and half of that is spot. So I'm anticipating -- and we've commented that spot price in New Brunswick have been attractive. So I think we're looking forward to better energy prices as well. I don't want to put a number on it, but I can comment, of course, on the efficiency. I mean we've disclosed all that. But I think directionally, with Paraguay coming online and spot prices, generally being more attractive in the summer compared to the winter historically. Yes, it's going to be looking forward to a good quarter. And as you noted difficulties dropping, which is nice. That's definitely everybody likes that. So yes, it's looking good, Chris.
Chris Brendler: Looking forward to it. It's going to be interesting to see how much it improves in that fiscal first quarter. Thanks so much. Congrats again.
Aydin Kilic: You bet. Thank you.
Nathan Fast: Thank you, Chris. That concludes our Q&A session and our Q4 and full year 2025 earnings call. Thank you, everyone, for joining. We look forward to speaking to you again soon.